Operator: Good afternoon, and welcome to the PRA Group Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I will now like to turn the conference over to Ms. Darby Schoenfeld, Vice President of Investor Relations for PRA Group. Please go ahead.
Darby Schoenfeld: Thank you. Good afternoon everyone, and thank you for joining us. With me today are Kevin Stevenson, President and Chief Executive Officer; and Pete Graham, Executive Vice President and CFO. We will make forward-looking statements during the call, which are based on management's current expectations. We caution listeners that these forward-looking statements are subject to risks, uncertainties, and assumptions that could cause actual results to differ materially from our expectations. Please refer to the earnings press release and our SEC filings for a detailed discussion of these factors. The earnings release and the slide presentation that we will use during today's webcast and call and our SEC filings can be found on the Investor Relations section of our Web site at www.pragroup.com. Additionally, a replay of this call will be available shortly after its conclusion, and the information needed to listen is in the earnings press release. All comparisons mentioned today will be between Q4, 2017 and Q4, 2016, unless otherwise noted. I'd now like to turn the call over to Kevin Stevenson, our President and Chief Executive Officer.
Kevin Stevenson: Thank you, Darby, and good afternoon everyone. Thank you for joining us on our fourth quarter and full-year 2017 conference call. The full-year 2017 was a productive one with the year [Ph], building, expansion, and growth. All designed to service the significant buying we've done over the past 18 to 24 months, and capitalize on the opportunities ahead. During 2017, we raised capitals in both bank and convertible debt to give us flexibility to invest in the increasing supply in the U.S. We invested record amounts in both America's core and America's insolvency. We increased capacity in our existing call centers and announced the opening of two new locations in the U.S. We added over 1,100 collectors in 2017 alone, a 71% increase, bringing us to a total collector headcount of 2,725 at year-end. Despite this unprecedented hiring, productivity of our U.S-based collectors remain well above our expectations. We collected more cash than every before in Europe Core, and made a number of operational improvements. And we finished the year increasing estimated remaining collections by $656 million or 13% versus the end of year 2016, for a record $5.7 billion. Portfolio purchases in the quarter across all geographies were $375 million. For the full-year 2017, we invested $1.1 billion, which was more than any other year excluding the acquisition of Aktiv Kapital in 2014. In Americas Core, we invested $160 million during the quarter, beating the prior record we set in the second quarter of 2017. For the full-year of 2017, we invested $536 million, which was also a record investment level. Throughout 2017, the U.S. saw total credit card debt outstanding reach an all-time high. With the natural seasoning of these loans large issuers have seen their charge-off rates rise. That in turn has created levels of charge-off sales in the U.S. We spent significant amount of time and effort this year to expand both the operational scale and capital available to be ready to accommodate the steady building supply. Over our 22-year history we have benefited from having excess capital at the right time, and we are confident these efforts will give us the ability to take advantage of increasing supply in the U.S. In addition, we view ourselves as a buyer that's focused on compliance in the customer journey, which we believe our sellers value significantly in the current environment. Global Insolvency continues to have solid investment volume. We invested $44 million in the Americas and $18 million in Europe. U.S. insolvency continues to have good flow available, and we are hopeful we can keep up the pace of buying. For the full-year, we had a record investment amount of $285 million in the Americas and $39 million in Europe. Europe Core generally remained highly competitive. And while that seems that statement seemed to conflict with our significant Q4 investment of $152 million, the majority of our purchases were in markets where we have significant data and operational experience combined with a more mature regulatory environment. These factors contributed to our ability to purchase some larger portfolio that met our return thresholds. Globally in terms of forward flow at year-end, we had committed maximum investment amounts of $203 million. However, we're currently in a heavy renewal season, and at the end of January, that amount had increased to $308 million. For the year, Global Insolvency cash collection declined 7%, but this was a significant and favorable change compared to the 25% and 23% declines we saw in 2016 and 2015. Importantly, as we moved into the second-half of 2017, our recent purchases in the U.S. and Europe began to drive cash collections growth, as you can see in the slide, ultimately pushing our cash collections in Q4 to an increase of 12% versus the same quarter last year. Much of the success we have seen is the result of our long-term view from five years ago, which gave us the ability to expand our capabilities into a new class of insolvency. In Americas Core, our U.S-based call center collector headcount had grown by over 500 since the third quarter. As I mentioned, when we announced this expansion ramping up was extremely important heading in to the seasonally strong first quarter. We are fully operational in Henderson, Nevada. And hiring has been so successful that all of our seats are full. Likewise, in Burlington, North Carolina recruiting has also been great. And that site is almost half full. Henderson and Burlington have capacity of approximately 300 and 500 seats respectively. When you grow your domestic collector workforce as much as we have in 18 months it's expected for average tenure to decrease. As you can see in the slide, the number of collectors who have been with us more than a year peaked in 2015, at 79%. Today that number is 39%. Productivity is impacted by tenure, and it's something we are heavily focused on improving. This is important because our collectors become more productive by the time they reach one year. At the 13-month mark they are almost six times as productive as they were at three months. As the tenure of our collectors continues to increase it will have a direct and positive impact on both raw cash collections as well as our cash efficiency ratio, and over time they should have a positive impact on ERC and corresponding yields. Cash collections in the Americas Core decreased 6% versus last year's results. And our U.S. call center collections were up 16%. This is the result of increases in our collector headcount along with growth in our portfolio purchases. Internal and external legal cash collections were down 5% year-over-year as we sent fewer accounts into the legal channel in 2016 and the first-half of 2017. As we mentioned last quarter, we started this year average balances increase, and with higher volume of purchasing, and unprecedented levels of documentation being provided by sellers we will start seeing more accounts qualify for the legal channel than we have in the past 18 to 24 months. Since we expense legal collection costs in the quarter incurred versus capitalizing them, we will see the investment in legal as an expense recognized in our income statement first, and then in subsequent quarters see the corresponding cash collections. Moving on to Europe, in Europe core cash collections increased 10% as we collected more in this quarter than in any quarter before. Performance is good overall, and in mature markets it's very good, with reduced cost, improved cash efficiency, and streamlined operations. We are also collecting at record levels through the legal channel because of operational enhancements we've made. We continue to focus on building our operating capabilities in new markets such as Italy and Poland. And for example, in Italy, we now have both in-house call center and legal capabilities, and we are working off a new collection system. Now, I'd like to turn things over to Pete to go through our financial results.
Pete Graham: Thanks, Kevin. A quick overview of fourth quarter and full-year 2017 GAAP results; we did have some special items in the quarter which I'll discuss in detail later in my remarks. In the fourth quarter total revenues were $206 million, operating expenses were $150 million, and net income was $87 million generating $1.92 in diluted EPS. For the full-year, total revenues were $814 million, operating expenses were $603 million, and net income was $162 million generating $3.54 in diluted EPS. Total cash collections for the quarter were $376 million, an increase of $28 million or 8% compared to the prior year. The increase was driven by growth in U.S. call centers, Global Insolvency, and Europe Core cash collections. This was partially offset by decreases in U.S. legal cash collections resulting from trends in lower balance accounts in 2016 and the first-half of 2017. Americas Core collections increased to $204 million, up $11 million versus the fourth quarter of 2016. This was driven by an increase of $17 million in U.S. call center cash collections primarily from increased staffing and portfolio acquisitions, again partially offset by a decline in legal cash collections. Europe Core cash collections were a record level of $107 million. This is up $10 million from the previous year, including a currency benefit of almost $8 million. Global Insolvency cash collections increased $7 million versus the fourth quarter of 2016 driven primarily by growth in the Americas. The large portfolio purchases in the U.S. during 2017 continue to drive this increase. Net allowances remain at maintenance levels, and were $2.5 million in the quarter, and $12 million for the full-year. The other component of cash receipts is fee income, which was $6 million in the fourth quarter. Fee income declined by $15 million, primarily due to the sale of government services in PLS earlier in the year; this was partially offset by an increase in fee income in CCB. The CCB business on average generate fees of $8 million to $10 million per year, however it can vary significantly quarter by quarter. Recall that when we sold government services in PLS in the first-half of 2017 we recognized a combined $48.4 million pretax gain on the sale, which represented a significant return on investment for the period we owned them. And the total cash generated on the sale was almost $100 million, which we reinvested in U.S. portfolio purchasing. Operating expenses were $150 million, increasing $2 million from the previous year. Expected increases in compensation expenses due to higher collector staffing levels were partially offset by lower legal collection expenses, as well as expense reductions resulting from the sale of government services and POS. Operating expenses for the full-year were $603 million, a decrease of $10 million. Our cash efficiency ratio was 60.6% in the quarter, and 60.8% for the full-year, versus 61% for the full-year of 2016. This is consistent with our expectations for the quarter as we saw increased expenses associated with the hiring and opening of two new call centers. Below the operating income line, we saw an increase in interest expense of $7 million, driven primarily by higher level of debt outstanding and slightly higher average borrowing rates. Net non-cash interest expense, including the impact of interest rate swaps was $5.7 million. There are two expense items I would like to highlight that we believe are not indicative of normal operations in the fourth quarter. First, we recorded a $1.7 million pre-tax impairment charge on a private equity fund investment that was owned by Active Capital prior to the acquisition. These passive investments are not core to our business, and are in row. Second, we provided $2 million after-tax related to guarantees provided to non-controlling interest, and the securitization fund that was in place when we acquired DTP in Poland. The implications from the Tax Cuts and Jobs Act are largely positive for PRA Group, but before I go through the components of this, I want to provide a refresher on our IRS settlement as it's important for the understanding of the impact of the Tax Act on PRA. Our settlement with the IRS in May was negotiated with several key components that are relevant in the context of the Tax Act. First, we agreed to change methods as of January 1, 2017. And the amount of deferred taxable revenue at transition was approximately $591 million. Second, we agreed to recognize this deferred revenue in our tax filings in equal amounts, over a four-year period from 2017 to 2020. At the time we are negotiating this settlement tax reform has been discussed as a possibility, and we wanted to get PRA a potential opportunity to benefit from any reduction in rates. So, moving on to the impact of tax reform; the corporate federal rate decreasing from 35% to 21% is obviously good for everyone. However, this changing rate had a huge impact on PRA. As we revalued our deferred tax positions resulting in one-time benefit of $74 million. Net of some associated expenses, the full impact in the quarter was $73.2 million. Over 3/4th of this tax benefit, $58 million resulted from the future tax savings on the remaining deferred liability of $443 million, resulting from the IRS settlement, and is reflective of permanent cash tax savings as well. On the go-forward basis, we expect a worldwide effective tax rate to be in the high 20s, which is significantly lower than before. We intend to utilize the savings to accelerate our hiring in call centers, make additional investments in data and analytics, and most importantly, especially given the market environment in the U.S, invest in NPLs. Another key element of the Tax Act is the provision that limits interest deductibility based on taxable earnings. We estimate that this provision will not impact PRA through 2020. For each of the next three years, we will recognize approximately $148 million of taxable earnings related to our IRS settlement, which gives us significant cushion in the interest deductibility calculation. Remember, this limitation is based on U.S. tax filings, not our reported GAAP results. Finally, there were a number of international provisions that moved to U.S. to a territorial system, which we feel is largely positive for us as well. We have not recorded any additional taxes due related to this transition, and we will continue to evaluate the ongoing impact of these provisions as additional guidance is forthcoming throughout the year. Depending on the outcome of these, it could change our effective tax rate in the future. Estimated remaining collections totaled a record $5.75 billion at year end with 55% in the U.S. and 42% in Europe. ERC increased $280 million sequentially due to significant purchases in the quarter. In addition to the substantial cash flow generated by the business, we have capital available for portfolio purchases of $458 million in the Americas and $463 million in Europe for a total of $921 million worldwide. We stand ready and committed to helping sellers manage their charged off debt. This next slide is the revenue model we introduced in 2017, updated for first quarter of 2018 with a base estimate for NFR revenue of $194.7 million. As a reminder there are four items that can impact NFR revenue from this space: revenue from investment in NPLs in the first quarter, allowance charges or reversals, cash collected on fully amortized pools, and yield increases. I'd now like to turn it back over to Kevin for some closing remarks.
Kevin Stevenson: Thank you, Pete. In summary, 2017 was the year of building, year of expansion and growth. We built new call centers and new capabilities, we expanded existing centers and existing capabilities all ahead of the opportunity we have seen and continue to see especially in the U.S. We experienced growth not just in the number of accounts we purchased and in cash collections, but growth in the emphasis on people, data and brand. In 2018, you will continue to see modest building and expansion but we will primarily focus on generating growth and production off the foundation we laid in 2017. Operator, we are now ready for questions.
Operator: Thank you. [Operator Instructions] Our first question is from the line of Bob Napoli of William Blair. Your line is open.
Bob Napoli: Thank you, appreciate it. The question I guess, on Europe, you guys have made it pretty clear that you feel the competitive environment over there has been very -- somewhat irrational, and you did buy quite a bit of paper this quarter in Europe. So just what changed, where are you seeing opportunities, what changed, and are these IRRs in line with, say, historical PRA targets and averages?
Kevin Stevenson: So, yes, I drafted my script a little bit, and maybe I could give you a little more granularity, but generally speaking the market is still very competitive in Europe, there's no doubt about that but the areas that we bought these in were areas that we specifically had a lot of data, a lot of expertise and we were able to buy in returns that we think are appropriate especially given the market we face in Europe. So we were pleased with them or just I guess, to put in a nutshell we wouldn't have bought them.
Bob Napoli: Can you say what countries, or what changed I guess, I mean -- wouldn't the areas… 
Kevin Stevenson: Sure. No, I'll give you a little bit on that one. So, one of the larger deals was in the UK where we feel very comfortable with and other ones were kind of in the Nordics area and northern part of Europe.
Bob Napoli: Okay. I guess, if we're looking at your forecast your first quarter forecast for income on finance receivables and obviously that doesn't include any purchases in the first quarter. This is pretty clear, but you're still assuming -- I guess, you're keeping your IRRs adjusted somewhat lower than what you would expect longer-term based on the youth of your average collector is that a fair statement?
Pete Graham: Yes, I think that's a fair statement. Kevin touched on a couple of metrics in his piece around productivity and seasoning of the collector staff and I think as we see that come through in 2018, our expectation is that that will drive increased cash collection and give us some more confidence around expansion there.
Kevin Stevenson: Yes, I agree with that Bob, if you look at the -- we put a slide in our slide deck; it talks about the tenure of domestic collections.
Bob Napoli: Yes.
Kevin Stevenson: And I think that really tells the story we'd presented at in our internal review. I thought that would be a nice graph for you guys to digest.
Bob Napoli: Thank you, yes. That makes sense. I know you guys gave some comments on tax and it wasn't clear, I was trying to do three things at once, but it wasn't clear to me what kind of a range you expect for your tax rate in 2018?
Pete Graham: Yes, we said high 20s, the slide says 29, so that's about as [indiscernible] as you can get.
Bob Napoli: And then last question, I'll turn it over. Can you give me what was the increase or change in accretable yield from re-class in the quarter?
Kevin Stevenson: Pete is digging out that piece of data right now. But it will come out as soon as we file the 10-K, but we'll see if he can dig it out later in the call, Bob.
Bob Napoli: Okay. Thank you, now I'll turn it over, appreciate it.
Operator: Thank you, our next question comes from the line of David Scharf of JMP Securities. Your line is open.
David Scharf: Good afternoon. Kevin, basically just one follow-up to Bob's question on Europe; I know in the past you've always stressed that the purchasing in a lot of those markets tends to be lumpier and I'm trying to get a sense whether we should view the activity in the fourth quarter as maybe one or two exceptionally large sort of one-off transactions or if you felt like those markets, the UK in particular, represent an opportunity for just more broad based buying this year?
Kevin Stevenson: So I have Tiku Patel on the phone, I'm going to let him go ahead and field that question for you.
Tiku Patel: Hello, David. Yes, the market supply still remains strong in Europe, there's still a considerable overhang of nonperforming debt in the European markets and the banks there continue to clear out the nonperforming portfolios. And so that there does continue to be a range of buying opportunities, and what we've done is -- continue to do what we've always done, which is hold true to the disciplines we've been applying for some time. So price profitably, reflect evaluation confidence and risk in our return requirements, use our ability to work across a wide range of markets and continue to show vendors the strengths of offering a reliable, compliant, trustworthy, customer centric proposition and that yielded buying opportunities in the third quarter. And that's basically what happened. And as Kevin said in the markets in which we have lots of data and experience, the…
David Scharf: Got it.
Tiku Patel: That's what we've been doing.
David Scharf: And just so I don't misinterpret it, I know the legacy active capital obviously they were always strong in the Nordics and moved into southern central Europe, I understand the UK always wasn't considered to be maybe a core market and that was when you actually had been commenting was among the most competitive in recent years, is a dynamic change there?
Tiku Patel: I wouldn't say that we would consider ourselves in the U.K. to be -- you know, weak by any stretch of the imagination. We've had businesses in the Nordics, in the U.K., in Spain, in Germany, in many of these markets for almost 15 years now. So we have data, we have experience, we have understanding of how portfolios work over a long period of time. So I wouldn't say that at all. The U.K. is actually our largest market.
Kevin Stevenson: And David, if I could add to that, we -- the U.K. was actually one of the areas where we did some consolidation, the active capital had some decent sized operations more in the London area and we had that really great call center in Kilmarnock, Scotland. And we ended up centralizing that to Kilmarnock and we have quite a collection engine up there, so yes, just added a little more color for you.
David Scharf: Okay. No, no, that's helpful and just turning to the U.S. not sure if Pete commented I know you provided some guidance on the cash efficiency ratio last year and for the quarter. Should we expect that to be somewhat flattish this year or does it get depressed as you have to still ramp up the productivity of all these new hires, or is that offset by a more favorable macro backdrop?
Pete Graham: I think as our expectation is as the collectors season and become more productive that that will have a positive impact on our cash efficiency metric. But time will tell exactly how much. We're not going to give you guidance on growth there.
David Scharf: Got it. And then lastly, can you just I guess re-explain the comments about legal collections, I missed it. It sounded like perhaps 2018, the current year, was going to represent somewhat of a rebound in the mix of accounts that qualify for that. But I didn't quite get the reasoning.
Kevin Stevenson: Yes. No, I certainly can. So, first of all, just the buying volume, that's one thing. The other component though was we're seeing the average balance go up again. If you remember from a few quarters ago we had a lot of conversation about average balance coming down over the last couple of years. And generally speaking, when we have a lower balance account we'll generally favor the call centers that kind of work. And so to the extent that that balance increases it will move more accounts into the legal channel. And also, one other factor is the level of documentation. The level of documentation we're getting now from the sellers is spectacular. And it's very different than we've gotten in the past. And especially if you think back, I don't know, 12-18 months ago, we were talking about document slowdowns, if you remember that. So we're primed, I think, to reaccelerate that introduction of accounts into the legal channel.
David Scharf: Got it. Thank you.
Pete Graham: Before we go to the next caller, just answering Bob's question from earlier, accretable yield in quarter was $56 million and a total of $149.5 million for the year.
Operator: Thank you. Your next question comes from the line of Mark Hughes of SunTrust. Your line is open.
Mark Hughes: Yes, thank you on that, the expense question, seems like your cash efficiency really wasn't impaired much in the fourth quarter from the ramp up in the new facilities. Any way to gauge if you look at how much was incremental cost in the quarter that maybe is non-recurring or assuming a normalized efficiency or productivity level for collectors, any way to gauge the magnitude of that?
Pete Graham: Yes, I think I'd start first by just talking a little bit about timing. So we built out those call centers and they came online late in the quarter. So the amount of -- or incremental costs related to the facility itself would've been pretty minimal in quarter. And then in terms of hiring that as well, so folks were beginning to be hired in sort of first part of November and coming on fully online into December with training. So again, not a fully loaded cost in the quarter.
Kevin Stevenson: And maybe I can clear it up a little bit too, Mark. The numbers I provided on the call in my script were as we sit here today. Maybe I wasn't clear in my notes. And so I think the prior question about how we move forward in our efficiency ratio is really, from my view, and Pete can jump in if he's in disagreement with that. My interpretation is really about this maturation of the collector workforce. 39%, as you can see on our chart, it's the lowest we've been in a few years because of this great addition of people. And they'll start maturing pretty rapidly especially as you get into the back-half of 2018.
Mark Hughes: Anything on pricing, specifically, seems like pricing improved early in the year and then was reasonably stable throughout the balance of the year. Have you seen any marginal changes here last few months?
Kevin Stevenson: I don't think so. I think your analysis is pretty correct. We did see some movements early. And every deal is different. I don't want to avoid your question, but every deal is different. We do see changes up and down on a deal-by-deal basis. But I'd say by and large we're stablish in terms of IRRs from where we were in the earlier part of the year.
Mark Hughes: Anything to read into your forward flow strategy, is your assumption the spot market will be cheaper and so you back off on forward flow or does this represent kind of normal strength? How do you look at that?
Kevin Stevenson: Forward flows, I like talking about forward flows. They are two-edge sword for sure. They're very nice when it comes to having volume locked in. You don't have to worry about being in the spot market and some kind of crazy thing happening. But they're also, to your point, you're locked into that price. And to the extent prices improve, it's nice to be able to take advantage of the improving pricing. So, I wouldn't read too much into it. We just produced the data because that's something you guys were interested in seeing. And so there's not a huge strategy around our belief that pricing should be improving or not. I think all things being equal, I would say it probably is improving hopefully towards the back-half of the year, but we'll have to wait and see.
Mark Hughes: Right. And then the final question, could you talk about your philosophy here on your floating rate debt. How much is it? How sensitive to change in interest rates, do you try to pick some of that perhaps in the coming year?
Pete Graham: It's a good question. We've got some interest rate hedging in place in Europe, where the entirety of our facility is floating rate. In the U.S., we've done some fixing of interest rate through the convert offerings. And it's something that we'll continue to monitor as we go forward here.
Mark Hughes: And then how much are the debt floats at this point?
Pete Graham: Sorry, could you repeat the question.
Mark Hughes: Yes, I'm sorry. How much of the debt floats at this point, what, either percentage or amount?
Pete Graham: In our U.S. facility it would be the entirety of the bank funding, and the converts are fixed at a relatively low cash rate. And in Europe, that amount of hedging fluctuates based on where we are in borrowing against different currencies. It's in line with the covenants that are in the bank facility. I don't have an exact percentage of hedging off the top of my head.
Mark Hughes: That's helpful. Thank you.
Operator: Thank you. Your next question comes from the line of Robert Dodd of Raymond James. Your line is open.
Robert Dodd: Hi, guys. First, one on the collector, you gave some color that after 13 months your collectors are about six times as productive as they are under three, and obviously a lot of them are very, very new at this stage. I mean any color on how does that ramp up. I mean is it fairly steady in terms of improvement in productivity with seasoning or is there kind of a turning point where productivity picks up a bunch because obviously that would affect the timing of how your OpEx ratio to cash collections progresses through the course of the year.
Kevin Stevenson: Good question, Robert. No, it is a fairly steady progression from day one of zero until later. So, the three question, and so just as you model that in just consider to -- kind of ratable ramp up.
Robert Dodd: Got it. And then on just the revenue model, I don't have obviously the K and the presentation was not keeping up on my screen. Is the -- obviously the revenue yield declined again a little bit, which continues the similar pattern, any color or not on where we are in terms of that bottoming? Is it still likely to go down because the vintage ageing, obviously a lot of the newer stuff is lower revenue yield, and also obviously you mentioned some of the big purchases in Europe were in Nordics, which I think has a lower yield in general given the extended life on those NFR assets. But any color you can give us on what the trend is on that, if the ties in with the collectors you said, as they improve productivity they could improve yields. But where are we in terms of the bottom and maybe upturn in that revenue yield number?
Pete Graham: Yes, again I think you hit in your question on some of the key drivers there. This being a gross revenue yield driven in large part by the purchase price multiple that we're buying these deals at. And so whether that's the volume of insolvency that we purchased in the U.S. this year or, again, you touched on some of the regions in Europe, particularly the Nordics where you've got these paying deals or deals that have much longer flatter curves that are very similar to insolvency price multiple. And so that's going to have an effect in terms of the gross revenues yields that we book. The other thing that comes along with that though is low cost to collect. So that translates into an equivalency in terms of IRRs.
Robert Dodd: Okay, got it. Thank you.
Operator: Thank you. Your next question is from the line of Bose George of KBW. Your line is open.
Unidentified Analyst: Thanks. Good afternoon. This is Eric on for Bose. A lot of my questions have been asked and answered. But on that last point that you were just making, can you just guide us to give us a sense for the trend on collecting on zero basis polls going forward? Thanks.
Kevin Stevenson: Pete's going to grab some of that data as well. The trend has been up in the last few quarters, but we'll dig that out for you.
Unidentified Analyst: Great. Well, that's actually all I had. So, thanks.
Kevin Stevenson: All right, thank you.
Operator: Thank you. Your next question is from the line of Mark Hughes of SunTrust. Your line is open.
Mark Hughes: You mentioned the pretax item, the $1.7 million. What was the after-tax effect of that?
Pete Graham: If you use a blended European rate I think our overall Europe rate is somewhere in the low to mid 20s, so it's probably $1.3 million maybe. Something like that.
Mark Hughes: Very good. And then the -- I'm sorry, did you give the zero basis collections in the quarter.
Pete Graham: Yes, sorry. I was just about to pull that off before we went to the next. For the quarter it was $8.4 million. Sorry…
Mark Hughes: You put your glasses on, Pete.
Pete Graham: I didn't put my glasses on, sorry.
Kevin Stevenson: He's flipping pages, Mark. Do you have another question while he's looking?
Mark Hughes: I'll ask this. Kevin, you had suggested you might anticipate pricing improving later this year. I saw J.P. Morgan's guidance this morning was for still increase in charge-offs. Is that -- what influences your view that price will decline further as we progress through the year?
Kevin Stevenson: Well, that would be -- that's exactly kind of things that we see. And just, what I talked about, we're at record levels of credit card debt. And the charge-off rates keep inching their way up kind of back to normal numbers quite frankly. And so we'll see how it goes. But all things being equal, the higher that number goes the more chances we'll have to improve our pricings on like even from where it's at today.
Mark Hughes: And then do you have any general comments on the number of banks, their willingness to sell, and their timing on sales?
Kevin Stevenson: I don't, and I don't. All I can tell you is that we remain engaged with the guys. I seem to be talking about the classic folks that have now, rather infamously, not been selling for a few years. I guess I will echo something our last CEO said, it's a fool's errand to try to predict when they will come back to the market. And so we all remain hopeful. And we feel comfortable they will, but it's just a matter of time.
Mark Hughes: How about more broadly, just other banks aside from those sellers, just their willingness to sell and timing on sale?
Kevin Stevenson: And so other than sideline sellers?
Mark Hughes: Correct.
Kevin Stevenson: Yes. No, I don't have any kind of contrary information for what they've been doing now for years. So they all seem full steam ahead, so to speak.
Mark Hughes: Pete, your point about the taxable earnings, you gave a $148 million figure that was going to help limit any potential for the interest deductibility prior to 2020. Was that $148 million, was that the total amount…
Pete Graham: No, that's just the extra amount related to the IRS settlement. So, as I said in my remarks, starting in 2017, we're brining that $591 million in ratably over the four years. So that's just an extra amount that will be there through 2020. As more clarity comes out on all of the international tax provisions we'll obviously be digesting that and doing our appropriate tax planning. But we don't have any issues with regards to that deductibility question through 2020.
Mark Hughes: Got you. And then the zero basis collections, did you say?
Pete Graham: Yes, sorry. I got my glasses on now, $17.4 million in the quarter on that.
Mark Hughes: Thank you very much.
Operator: Thank you. Your next question is from the line of Brian Hogan of William Blair. Your line is open.
Brian Hogan: Thanks. Can you -- I mean, you talked about the ramp of the collectors continuing throughout 2018. You obviously added a lot in the fourth quarter and in 2017 in general. And you said you were half full I believe in the Burlington facility, which has 500 seats. Do you plan to fill that shortly? And then -- I mean just how much capacity do you have left, and do you need to add another call center with the -- what are your plans? Can you kind of talk about long-term strategy there?
Kevin Stevenson: Yes, thank you for that. So the answer is, you have your numbers correct. We're full in Henderson, and we're half full as we sit here today, in Burlington. In fact I'm heading down there tomorrow for our grand open ribbon cutting. That should be a neat event. We plan to add seats as our buying and pool penetration allows. So we do have modeling around that. We've got a -- our data and analytics group have models that predict all sorts of things from who shows up the first day to who it trips out over time, and we hire to those numbers. But to your point though, I think the capacity isn't a lot of extra. Just on the back of the envelope you got about 250 seats in there in Burlington. And everything else is pretty much full. One thing I didn't point out very specifically in my script was that we also expanded our sites here in Norfolk. We expanded our second building; we expanded Hampton a little bit. And so we've done a lot of work around even existing centers to optimize our layout. I would say that there's a decent chance at some point, either during late-'18 maybe into '19 that we would think about another center. Not a 500-person center probably, but something to help us buffer capacity. Because at the end of the day, real estate is pretty cheap for us, our people are what's most important. And our focus is just to give them good environments to work in and hopefully retain them as tenure moves up because it's pretty obvious how much more productive they are.
Brian Hogan: All right. And I guess with that comes, I mean, the productivity question and business mix, quite frankly. You talked about the forward flows and jump back up here at the end of January. Can you talk about the mix of spots in forward flow, do you target a mix? And then how much are you seeing in fresh paper versus, say, shall we say, tertiary or other types of paper?
Kevin Stevenson: So we'll see if we can dig something up for you. I don't know that off the top of my head. You ask a strategy question in there though, and I can answer that. We really don't have a target mix of flow versus spot. I talked a little bit about that earlier. Flows do have a bit of a [indiscernible] it's nice to have a volume lockdown, don't get me wrong. But it's also -- if you take advantage of pricing increases or decreases it's nice not to have one. And likewise, I would say I don't much of a strategy on fresh versus primary, secondary, tertiary. It's just we buy to the point where -- we're at the point where we can collect pretty much any kind of delinquency status paper. But -- so I won't say that I have a bias one way or the other there as well. I think Pete's got some data for you.
Pete Graham: Yes, you'll see it in the Q tables. But for the quarter domestic portfolio purchases of fresh paper was 76910, so just to give you a kind of order of magnitude there.
Brian Hogan: All right. And then last question from me. And Kevin, you mentioned the European legal channel, kind of maybe taking a step up. Can maybe you just clarify those remarks, and what are you doing there in legal?
Kevin Stevenson: Yes. So we've been trying to build that legal process over the past -- two years, off the top of my head. I'm hoping for nod from Darby, I'm trying to think how long we've been talking about in our calls. But we are getting somewhere both in the U.K, especially, and in Italy. That's one of the things that you go back in time, it's one of things that we probably wish could have done better in Italy. But now it's coming around, and we have got a great site leader there and a great team. I just had a fireside chat not long ago with them over videoconferencing in there, and they are very jazzed up about what they are doing. So that's what I'm talking about. Legal has not been historically a big part of our component of our collections in Europe, and now it's becoming so.
Brian Hogan: Is that the operational changes you made there maybe allowed you to buy a little bit more [indiscernible] you focus any markets, I heard those previous comments, I'm just kind of curious there.
Kevin Stevenson: Yes. No, that's a good observation, something that we certainly recognized. And in fact, we always caveat our commentary about this is how we see the market. But to the extent that we are growing that legal component from a low number, it will indeed help us to be more competitive.
Brian Hogan: All right. And then, sorry I have one more, Brazil. What are you seeing in Brazil today, obviously it can be lumpy; just kind of discuss that market and the returns you are seeing there?
Kevin Stevenson: Yes. So we love our partners in Brazil. I can't say enough about Alex and Hernando. And they are fantastic folks to work with. The market has been great for us. The returns there are -- again, the returns in our portfolio are very, very good. I think it's probably possible to dig from that data out; I'm not sure off the top of my head. So, from a color perspective, returns are great, we love our partners down there. It's treated us very well. I'd love to do more in Brazil, and South America in general.
Brian Hogan: All right, thank you.
Operator: Thank you. Our next question is from the line of Robert Dodd of Raymond James. Your line is open.
Robert Dodd: Hi, guys. Just to clarify, you said the zero balance collection is $17.4 million. Was there another vintage that went into this EVA bucket this quarter? Does it seem high compared to what we see in the prior quarters? [Indiscernible]
Kevin Stevenson: Yes, we did have some significant items moving into that category in the year, in the Americas, in particular.
Robert Dodd: Sorry. Is that 17.4 for the year, or for the quarter?
Kevin Stevenson: That's for the quarter.
Robert Dodd: Okay. Okay, got it. Thank you.
Operator: Thank you. And this concludes our Q&A session for today. I'd like to turn the conference over to Kevin Stevenson for the closing remarks.
Kevin Stevenson: Well, thank you very much for joining our call. And we look forward to talking to you next quarter. Operator, you may disconnect.